Operator: Ladies and gentlemen, thank you for standing by. Welcome to AptarGroup's 2013 Second Quarter Conference Call. [Operator Instructions] Introducing today's conference call is Mr. Matt DellaMaria, Vice President, Investor Relations. Please go ahead, sir.
Matthew DellaMaria: Thank you, Jonathan, and welcome, everyone. Participating on the call today are Steve Hagge, President and Chief Executive Officer; and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. Steve will begin our call with an overview of our quarterly performance. Bob will then discuss our financial results in greater detail, after which, we'll open it up for questions. Information that will be discussed on today's call includes some forward-looking comments. Actual results or outcomes could differ from those projected or contained in the forward-looking statements. Please refer to AptarGroup's SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. We will post a replay of this conference call on our website. AptarGroup undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference call over to Steve.
Stephen J. Hagge: Thanks, Matt, and good morning, everyone. Yesterday, we reported record revenue of $641 million with record earnings per share before restructuring charges of $0.70 -- $0.77 per share. I'm pleased that we were able to report such strong results in spite of continued softness in certain markets in the U.S. Similar to the first quarter, the U.S. was our weakest region, while demand for our innovative products in other areas of the world grew over the prior year. I'd like to briefly summarize our segments performance for the quarter. First, for Beauty + Home, our sales growth was predominantly due to increased sales to the beauty and personal care markets in Europe and the personal care market in Latin America. This strength was offset -- offset the weakness in the U.S. and decreased to the sales in the beauty markets in Latin America and Asia. We continue to face some underutilization from our U.S. operations, and we've not yet replaced certain businesses that we exited. However, we do expect to see an improvement in the second half of the year. We remain committed to cost containment and to develop of new innovative products, and we're encouraged with the current dialogue with our customers. We participated in several new launches by customers in the Beauty + Home segment this quarter, including in the beauty market, the newest Bond No. 9 fragrance. Central Park South was launched with our low-profile spray pump. Estée Lauder selected our cosmetic lotion pump for their perfectionist facial care cream. Also our silicone PINPOINT Dispenser was selected for a new anti-wrinkle treatment. A new men's cologne from -- by Unilever utilizes our fragrance spray pump. In the personal care market, P&G selected several of our pumps for their Oceana line of skin products. And also ULTA Beauty selected our Bag on Valve system for a new Body Mousse product. In the home care market, we designed a custom dosing dispensing closure for one of P&G's surface cleaners that was introduced in Europe. Now looking at our Pharma segment, our Pharma segment performed very well in the quarter, including both our legacy business and Aptar Stelmi. As we expected, sales to the U.S. generic allergy market improved from the first quarter. And on a global basis, sales both -- sales to both the prescription and the consumer health care markets grew over the prior year. Also Aptar Stelmi had another terrific quarter driven by growth in the overall injectable industry. Because of this recent growth at Aptar Stelmi and the projected growth in the near term, we announced that we'll be increasing our capacity to better serve our customers. And I'll speak more about this in a couple of minutes. The profitability for both our legacy business and Aptar Stelmi remained at a high level due to the leverage from the increased sales. In the quarter, there were several interesting consumer health care launches, including a new eye care product in Europe, that utilizes our Ophthalmic Squeeze Dispenser, a new nasal decongestant in Latin America using our classic spray pump; and also a topical anti-itch treatment that was launched in Europe using our low-profile spray pump. Now, turning to our Food + Beverage segment. Our Food + Beverage segment had another very good quarter with sales growth in both food and the beverage markets. Profitability improved over the prior year to the leverage gained by increasing -- by the increase in sales, especially with our facility in Lincolnton, which started shipping to customers in the second quarter of last year. We did experience softness in the beverage market in Europe in the second quarter due to the cold summer that they're experiencing there, and we expect this to continue into the third quarter. Now, looking at several new launches that took place in the quarter, first in the beverage market, several new children's enriched water drinks were launched in Western and Eastern Europe using our sports closure. A new functional sports beverage was introduced in China with our beverage closure, and also our closure was chosen for a new bottled water in Latin America. Now, in the food market in the U.S., our sport Pour Spout closure was selected for a new line of flavored syrups. Our flip-top jar lid was selected for a new package of powdered sweetener. And General Mills introduced a ready-to-use pancake batter in a squeezable bottle that uses our snap-top closure. Also, 2 new honey packages, one in Europe and one in China, were introduced with our dispensing closures. Now, just a brief update on a couple of other announcements that we made in the quarter. First for our European restructuring plan. It is on schedule. Costs are within our original expectations, and we're now beginning to see some of the savings from this initiative. Now, as you saw in the press release, we'll be increasing the capacity at Aptar Stelmi. This business has performed extremely well, and we've been preparing a long-term business plan for the future. We'll be making an additional investment of $26 million to expand our facilities in Europe and add new equipment in technology. While the long-term plan calls for production capabilities outside of Europe, we believe that our customers are best served by this initial investment. We've also decided to open a production facility in Colombia to serve existing and future customers in the Andean region. We've been importing products to that region for decades for various facilities. The time is right for us to expand in Latin America, and we're excited about the opportunities across each of our segments in the Andean region. Our investment over the next 18 months will be approximately $5 million. Now, as we look forward to the third quarter, we expect to grow sales and profits over the prior year. However, certain macro challenges remain, including decelerated economic growth in certain developing regions and the speed of recovery of certain markets in the U.S. and Europe. I remain optimistic about our long-term growth potential. I believe that the recent moves we are making investing in Aptar Stelmi and investing in a very promising region like Latin America, will contribute to our future success. Our balance sheet remains in great shape, and we look forward to continued growth in the second half of the year. Now, I'll turn it over to Bob, who will review the financial results in more detail.
Robert W. Kuhn: Thank you, Steve, and good morning, everyone. As announced in our press release, our reported sales grew 11% to a record quarterly level. On a constant-currency basis and excluding the Aptar Stelmi acquisition, our core sales increased 4% in the quarter. Our second quarter guidance did not include any costs from our European restructuring plan, which was about $0.04 in the quarter. So on a comparable basis to our guidance, when you adjust for the $0.04 from the restructuring plan, we earned $0.77 in the quarter and this compares to the $0.66 in the prior year when costs associated with the Stelmi acquisition are excluded from the prior year results. As Steve has mentioned, Aptar Stelmi had a strong quarter, and results of this business contributed $0.07 to our earnings per share. Free cash flow, which we define as cash flow from operations less capital expenditures, was $47 million in the quarter compared to $18 million the same period a year ago. On a gross basis, debt to capital is about 22%. While on a net basis, it is roughly 12%. We paid approximately $17 million in dividends in the quarter, representing $0.25 per share. Regarding our share repurchase program, in the quarter, we spent approximately $33.8 million to repurchase 600,000 shares in the quarter. As we've previously announced this month, we increased the number of shares authorized for repurchase by 4 million shares. And this brings the total authorized for repurchase to approximately 5.2 million as of today. Turning to market detail by business segment. Our Beauty + Home segments core sales increased 2%, compared to the prior year. Looking at our markets on a constant currency basis, compared to the prior year, sales to the personal care market increased 6%. Sales to the beauty market decreased 2%, and sales to the home care market decreased 9%. Our Pharma segment's reported sales increased 38%, but if we back out the impact of the Aptar Stelmi acquisition, which accounted for 29% of the quarterly growth and the impact from currency effects, which added 1%, our core sales increased 8% in the quarter. Looking at our markets on a constant-currency basis compared to the prior year, sales to the prescription market, excluding the Aptar Stelmi acquisition, increased 6%; while sales to the consumer health care market increased 12%. Our Food + Beverage segment's core sales increased 10%. On a constant-currency basis, sales to the beverage market increased 16%. However, strong quarter of tooling sales contributed 11% of this growth. If we exclude the impact of an increase in the tooling sales, beverage product sales increased 5%. Sales to the food market increased 6% in the second quarter. Looking at our year-to-date results, our 6-month year-to-date reported sales grew 8%. On a constant-currency basis and excluding the Aptar Stelmi acquisition, our core sales increased 2% in the first half. On a comparable basis, when you adjust for the negative impact of about $0.09 from our European restructuring plan, we earned $1.40 per share in the first half, and this compares to $1.30 per share in the prior year when costs of approximately $0.06 associated with the Stelmi acquisition are excluded from the prior year first-half results. We also generated free cash flow in the first 6 months of $38 million, which compares to negative free cash flow of $11 million in the first half of 2012. Just a few comments on our European restructuring plan. As Steve mentioned, the plan is progressing as planned. Charges recorded in the quarter include approximately $3.1 million of expense, about $600,000 of which is noncash and is included in our depreciation and amortization line. The remaining $2.5 million is primarily related to severance payments and is included in the line called, restructuring initiatives. We anticipate that we will recognize approximately $6 million in additional expense related to the plan, the majority of which will be recognized in 2013. Of that remaining total, about half will be noncash. These amounts could change, depending on changes in exchange rates. And annualized savings are expected to be approximately $12 million. Looking forward, presently, we expect depreciation and amortization for 2013 to be in the area of $150 million with capital expenditures expected to be in the area of $160 million. I would like to point out that these amounts could vary depending on changes in exchange rates. We currently anticipate that our full year tax rate for the year will be between 33.5% and 34.5%. We currently estimate that diluted earnings per share for the third quarter of 2013 will be in the range of $0.68 to $0.73 per share, compared to $0.62 per share reported in the prior year second quarter. Prior years -- prior year third quarter per share included $0.02 negative impact from the third quarter results of Aptar Stelmi, which also reflected certain purchase accounting adjustments. Our third quarter earnings per share guidance does not include any potential costs from our European restructuring plan. At this point, Steve and I will be glad to answer any of your questions.
Operator: [Operator Instructions] Our first question comes from the line of Ghansham Panjabi from Robert W. Baird.
Matthew R. Wooten - Robert W. Baird & Co. Incorporated, Research Division: It's Matt Wooten sitting in for Ghansham today. Longer term, do you have plans to increase the investment and further expand Aptar Stelmi into North America? And are there specific reasons for not adding capacity in North America in the short term?
Stephen J. Hagge: Yes, and that's a good question. I think as I made in the comments, long term and as we bought the company, we knew we needed to expand outside of the European footprint we have today. But given where we're at on capacity and the customers' need for the product, we're also -- we felt it's best to come back and increase capacity where we're at today, improve some of the technology and then be able to bring that weather to the U.S. or other international operations after we've got that up and proven. So I think it's still in the plans, but it's more of a timing issue to deal with the current demand situation with our customers.
Matthew R. Wooten - Robert W. Baird & Co. Incorporated, Research Division: Understood. And then switching to the Beauty + Home markets for a second. Was inter-quarter [sic] (intra-quarter) volume trajectory consistent month-to-month? And have you seen any indication of increased order patterns for the second half of the year? And if you could just help us parse that by region, particularly in Latin America and Brazil as it seems like the economy is weaker?
Robert W. Kuhn: Okay, so Matt, the actual sales month-to-month within the quarter were very stable. So there wasn't any one particular month, which is more significant than the other, so I would say it was pretty stable. Looking forward, again, for Beauty + Home, I think your question was, we see volumes improving, particularly in the U.S. And then your third question was by region. And I'll give you basic Aptar overall rates in the region. So what we saw in the third quarter was improvement overall in Europe. If you remember, we were basically flat in the second quarter and now, we're up mid-single digits 6%. The U.S. is still our softest market, as Steve mentioned, but it is improving. We were down about 2% in the second quarter. Latin America is pretty consistent for us. It was still up about 10%, which is consistent with the prior quarter as well. Asia for us, if I strip out a decrease in tooling sales in Asia, Asia product sales were up 5%. So a bit slower than what we'd been experiencing prior to that.
Operator: [Operator Instructions] Our next question comes from the line of Chris Manuel from Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: A couple of questions. First, if I could talk a little bit about the guidance. If I'm looking back to your old elements, a couple of questions here on the guidance, a couple of pieces here. What's the element that's in there for Stelmi in this current quarter you have right now?
Robert W. Kuhn: The current quarter, you mean Q2?
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Yes, I think it's $0.05 -- or no in 3Q. So it did, I think, $0.05 in 4Q last year, $0.06 in 1Q, and I think you mentioned it was $0.07 this quarter. What are you anticipating, or what's embedded into your current guidance for Stelmi in 3Q?
Robert W. Kuhn: Okay, let me come at that a slightly different way, Chris. If we focus on the back half of the year starting with last year, altogether, Stelmi added $0.01 to our 2012 second half results. We think the second half this year will be anywhere between $0.05 and $0.08 positive for the second half of this year. The reason why it's less than what we've experienced, as you said the $0.06 in Q1 and $0.07 in Q2, for a couple of reasons: one, we've historically seen planned maintenance shutdown for the Stelmi facility. And this year's going to be no different in the month of August. So historically, Q3 has lower volumes, lower sales levels due to that primarily. And then due to the announcement that we made with the capacity increase, we will be starting to add structure and headcount people in advance of that capacity increase to make sure that they're trained for when it comes online. So our estimate is $0.05 to $0.08 add in the second half.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay, that's helpful. Really where I was trying to get at is if I start at -- and -- is I'm looking at your 3Q guidance of what you set forth for us. And if I start at kind of $0.62 last year, if I remember correctly in 3Q last year, you had a $0.06 currency headwind that was sort of discrete with the way some currencies moved intra-quarter and between the Swiss franc, et cetera. some things were moving around that -- if that doesn't recur -- and specifically in 3Q last year, you had a couple cent drag, that kind of takes the $0.62 we started at last year and makes it look more like $0.70. And then with a little contribution from Stelmi again in 3Q this year and some of the share count reduction organic growth, I guess it almost looked as though base earnings, if you look at it that way, would in fact be flatter, slightly down. And I was kind of trying to understand maybe were there some other factors or things into play, whether -- maybe start-up costs for some of the new facilities that you're working on. Or Steve, you alluded to some areas we're you're seeing some softness, I think, in Food + Bev and Beauty + Home. Are there anything with the growth profile that maybe has changed in the near term?
Robert W. Kuhn: Okay, Chris, let me address that because I think I need to clarify your FX comment. When we look at FX, the best way to look at that is when we look at Q3 guidance going out, we use the spot rate. And I'm going to focus only on the euro for a moment. Spot rate today is around 1 30, 1 31. That's the rate for our euro currency that we used in Q3. If you look at Q3 last year, the average rate in the quarter was about 1 25. Okay? So it's not -- each quarter, if you will, each periods stands on its own. So when we talked about that 8% last year, it was related to 2011. We tried to neutralize currencies so that when we talked on a comparative basis quarter-to-quarter, they're similar. You have no currency. So now, we're looking at Q3 this year to Q3 last year, so -- which...
Stephen J. Hagge: That, I think, Chris would tell you we're not looking basically at any currency impacts. So that $0.06 is also, frankly, not relevant to our projections in the third quarter.
Robert W. Kuhn: So in other words, Chris, the base starts then with last year's Q3 at 1 25.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay, that's helpful. And I guess my follow-up question is the contribution -- or when do you anticipate the new capacity for Stelmi being onstream? Is that a 2014 event? Or kind of some timing parameters there? And the $26 million to spend for, when is that anticipated?
Stephen J. Hagge: Yes, the -- what we're doing now is going through the permitting process in terms of the expansion of the facility. So we need to go through the government side. We expect that, that will take place through the second half of this year. We would expect construction to start in 2014 with the addition of the capacity. So it's late -- it's more of a late 2014, 2015 event as to when we'll be up and running. In terms of the spend, that's also pretty much timing. The spend for the $26 million will be primarily a 2014 issue and very -- not a significant amount coming in '13.
Operator: Our next question comes from the line of Al Kabili from Macquarie.
Daniel Moran - Macquarie Research: This is actually Danny Moran on for Al. It looks like Pharma has returned to its longer-term growth rates. At this point, do you feel like the inventory issues have cleared out? And kind of looking forward, do you -- what gives you confidence that we're back to normalized trends?
Stephen J. Hagge: Well, I think, first of all, you're right on a -- you're right on that, we're back to more of a normalized -- for our legacy business, our normalized growth because we get that 7% to 8% in the second quarter. We think that the majority of the inventory issue we saw with the nasal spray for the allergy market here in the U.S. has pretty much worked through the system, and we're now seeing kind of market conditions going forward to that. So when we go out, I mean -- and the other thing, I think, is very positive on the Pharma, which I mentioned earlier, was our Consumer Health Care business is also seeing some nice increases year from year, and that was soft from our previous 2 to 3 quarters. So when you look at those, we're reasonably confident that as we go out, we're going to be continuing to grow the business. Whether it's the same percentage each quarter, that's hard to say, but we are looking at nice growth as we go forward.
Daniel Moran - Macquarie Research: Okay, that's helpful. And given the ramp in CapEx due to the new facility in the Stelmi expansion, should we expect this to be the current run rate when looking out to '14 or '15 in CapEx?
Robert W. Kuhn: Well, let me comment. On the $26 million for Stelmi, you won't see really any of that hitting in 2013. The spend on that will really be incurred in 2014. As far as the CapEx of about $5 million for Colombia, that is baked into our $160 million guidance for this year. So we have not yet gone through our budgeting process, but, clearly, that $26 million is going to be additive to, I would say, more normalized CapEx next year.
Operator: Our next question comes from the line Osha Puntapelli [ph] from Goldman Sachs.
Unknown Analyst: A quick question. Could you comment on your customer order patterns in the second quarter and if you have noticed anything different in early third quarter?
Stephen J. Hagge: The material cost? Is that -- you were asking, I think, about the material cost. If you look at...
Unknown Analyst: About the customer orders.
Stephen J. Hagge: I'm not sure I understand the question.
Unknown Analyst: Just the customer order patterns in the second quarter, and if anything has noticeably changed in the early third quarter.
Stephen J. Hagge: Okay, on the order patterns for the customers, as Bob said, I think we -- through the quarter, we were pretty consistent. What we've seen in the third is, I think, an improving North America Beauty + Home market, which we expect will be the case. The rest of them is kind of following our normal patterns. We're seeing nice -- we're seeing growth in each of the segments, as we talked about, in kind of our outlook for the third quarter.
Unknown Analyst: That's helpful. And then the Food + Beverage EBIT margin for second quarter, that appears well ahead of the past 2-year trend. Do you think this is sustainable and a good proxy going forward for the segment?
Stephen J. Hagge: I think -- yes, I think it's a good question. It was a 14% margin for us in the quarter, which has been above where we've been at. Now I think that was benefited in the quarter by the resin content -- our raw materials went down in the third quarter primarily in the U.S. That had a positive impact in terms of profitability for Food + Beverage. Now we're seeing on a third quarter-to-third quarter basis, resin actually going up between the third quarter of 2012 and then now the third quarter of '13. So we're actually going to go negative in terms of resin comparison as we look at our business. So I would anticipate that the 14% won't be sustainable going into the third quarter and will be in that 12% to -- more 12% to 13% area rather than the 14%.
Operator: Our next question comes from the line of Phil Gresh from JPMorgan.
John M. Royall - JP Morgan Chase & Co, Research Division: This is actually John Royall sitting in for Phil this morning. So in the core Pharma business, you've put up a couple of quarters in a row of near 30% margins, which is toward the high end of your historical range. Is there any reason to think that's not sustainable for the back half of the year?
Stephen J. Hagge: Yes, I -- again, what we've said is, and I'll go back and reiterate this, for our old legacy business, that's a 25% to 30% margin depending on where the product mix and utilization will be. So it's still -- that 30% is going to be at the high end of the range. And if you go back to last year, you'll see that ranged anywhere from around 26% to 30%. So you still will get variability in that, John, on a quarter-to-quarter basis but within the 25% to 30% for the old legacy business.
John M. Royall - JP Morgan Chase & Co, Research Division: Okay, great. And then just looking at the margins in Beauty + Home, they were down about 100 basis points year-over-year in 2Q compared to about 200 basis points last quarter. Obviously, in 1Q, you had a volume decline from storm headwinds, and you walked away from some business. This quarter, volumes are growing and the storm issues aren't there. So I guess the question is around the margins in the business that you walked away from. Were those high-margin businesses? And what other drivers should we be thinking about? And then how should we be thinking about that in the second half?
Stephen J. Hagge: I think a couple of things went back. Similar to what we saw in Food + Beverage is that we had some raw material increases coming back through, which was a positive impact. We don't see that into the third quarter. Going back, the other side is we still had some underutilization issues, and that was probably the biggest negative that we had in the quarter. But I think if you look at -- as you pointed out, John, while we've had -- while we're not where we were and where we want to be, we are up from about a 6% margin to around an 8% margin, and we would anticipate that going up into the third quarter.
Operator: Our next question comes from the line of Debbie Jones from Deutsche Bank.
Deborah Jones - Deutsche Bank AG, Research Division: I have another Stelmi question, if that's okay. I just was taking a look back, and in 2011, I think this company did just over $100 million in sales. I was wondering if could you remind us what you did in 2012 or what Stelmi did in 2012 on a stand-alone basis kind of where you are year-to-date. I know you said $39 million in the quarter. And I just wanted to just get a better understanding of what the specific growth drivers have been, whether either by product or region and then how you kind of compare to the overall market.
Stephen J. Hagge: Let me come back and give you, at least on year-to-date basis, Stelmi on a comparative basis to last year even though they weren't consolidated. Sales growth is about a little over 15% from us on a year-over-year basis. Now that sales growth is coming from growth in the market. We're seeing growth in the injectable market that's out there. So that's a market growth. And we've also got some pricing side that we've been able to take a look at our pricing, and I think that's one of the -- been the big benefits of -- on the integration. As we've looked at that, the pricing has also been a benefit for us. So it's both volume and price going into 2013.
Deborah Jones - Deutsche Bank AG, Research Division: Okay. That's helpful. And then on Beauty + Home, can you just remind us how much of your revenue in that segment is derived domestically? And then I know -- it seems to me like it's more broad-based weakness, but is there anything you can highlight specifically on product lines that you would like to or think could see improving over the next couple of quarters?
Stephen J. Hagge: Well, I think, again, we're -- the -- I'd say probably the business in Europe, which was -- that Bob said, I think, overall for Aptar on all segments was up about 6% year-on-year. That is a good portion of the Beauty + Home business. I think it's good to point out, though, that while we see Europe up in terms -- that's where we sell our products. I think it's important to remember that our customers that we sell those products to are basically doing well internationally. So it's not necessarily that the L'Oreals or the LVMHs or the Diors are doing necessarily well in Europe, but their worldwide business in terms of their export business is doing well. So we're seeing some good growth in that and new worldwide introductions of products. So again, it's more of a worldwide look rather than as a regional look.
Deborah Jones - Deutsche Bank AG, Research Division: Okay. And then can I just ask on share purchases, what you might have baked into your guidance for the back half of the year? I know you've only given it by quarter, but what you're thinking about that.
Robert W. Kuhn: Our -- we've been pretty consistent historically. And to be honest to you, Debbie, we haven't changed as far as forecasting going forward any different assumptions. The share -- the additional authorization of 4 million is just pretty consistent. So I wouldn't read anything more into that in terms of any unusual estimates going into Q3.
Stephen J. Hagge: And that's generally been around 500,000, 600,000 shares per quarter that we've been buying. So that's at least what we've baked in so far.
Operator: Our next question comes from the line of Jason Rodgers from Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: The comments you're making on resin costs, was that just for the Food + Beverage segment? Or is that corporate-wide?
Stephen J. Hagge: It is -- it's more -- it's corporate-wide. But again, Pharma is less affected because they're more heavily European. So what we're seeing on resin is a -- more of a U.S. phenomena. So U.S. resin prices went down pretty dramatically in the third quarter of 2012. And if you look at from the second to the third in '13, they're flat to going up somewhat. So it's more the delta between the last quarter and this quarter where we're seeing the negative hit in terms of our numbers.
Jason A. Rodgers - Great Lakes Review: And any changes in the competitive environment?
Stephen J. Hagge: I mean, nothing that's notable out there. I mean, it continues to be a competitive marketplace. And we consider ourselves, as we have in the past, the most innovative in our market and the market leader. So -- but it is a competitive marketplace as it has been in the past.
Jason A. Rodgers - Great Lakes Review: Finally, could you provide the cash flow from operations for the quarter or 6 months?
Robert W. Kuhn: Yes, Jason, let me look at -- cash flow from operations in the quarter is going to be $83 million in the quarter. And then year-to-date, it would be at $100 million -- roughly $110 million.
Operator: [Operator Instructions] Our next question comes from the line of Todd Wenning from Morningstar.
Todd Wenning - Morningstar Inc., Research Division: Could you give us an idea of what the competitive landscape is like in the Andean region and what advantages you have in that market by being local?
Stephen J. Hagge: Again, that's a good question, Todd. It gives me a chance to talk a little bit about the market. We've been shipping -- we have customers, both regional and international customers, that are both in Peru, Colombia and that whole region. And we've been servicing those customers from other facilities within Aptar, whether that is Brazil, Argentina or even our North American facilities. Those customers have continued to grow. And frankly, at this point, we felt the need that we need to be closer to them to really move even the service to a higher level. The advantage we have today in Colombia, we'll be the first of our overall competition to go into that marketplace. So we also think that there's our first-mover side. So today in Colombia, we'll be the first in our product lines to be competing in that area.
Todd Wenning - Morningstar Inc., Research Division: Okay, great. Now are there any other regions that might benefit from a similar move?
Stephen J. Hagge: Well, again, we'll continue to look at that. I mean, some of those in Asia, we continue to look at where growth is. Today, we're in Thailand. We're in Indonesia, both of those are growing. We may need to be adding capacity or -- in both of those areas. So we continue to look at that. It's -- and again, I think it's important. We're actually going to these regions on a customer-pull strategy. So we're going in there with committed business as opposed to just moving into the market and hope we can sell.
Todd Wenning - Morningstar Inc., Research Division: Okay, great. And then finally, on the recent share repurchase announcement, can you walk us through the board's thought process there and how you weigh the buyback position versus investment -- other investment opportunities?
Robert W. Kuhn: Todd, we look at it really -- it's something that we evaluate really at almost every board meeting. So we take a very balanced approach to it. Obviously, we announced a dividend increase a few quarters ago. Share repurchase is also a part of that. And we also look at the opportunities that are on the table as, for example, 2 that we mentioned here. Our goal is not to grow the cash balance. So if you look at it, we think we're generating enough cash flow, if you will, that we can provide that either in the form of dividends or through share repurchase. It also still leaves us enough balance sheet to deal with any M&A activities that come up. So again, it's really a holistic, balanced approach that we take to the board, and we look at that every quarter.
Operator: Our next question comes from the line of Brian Rafn from Morgan Dempsey.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Can you -- Steve, can you talk a little bit about -- you ran through a -- quite a robust litany of new product launches. Are you seeing -- and you mentioned a little bit that some of your customers do it on a global scale. Are you seeing the number of new product innovations and launches either in scope or global size or the number of units and volume and launches increasing? It seems like there's been a lot of activity in that area. How is that, say, move from, say, 2013 to 2012?
Stephen J. Hagge: I think in terms of the Beauty + Home activity, because that's kind of more where I think you're looking at, in that particular market, we're seeing an increase in activity going from '12 to '13. There are more projects coming back out. Some of those are introduced regionally. So I would say also there's not as much as of global introductions. Or if they are, they are a little bit more subdued to see how successful the project is. So the advantage for us is that we're in -- around the world, so we're able to deal with those on a regional basis as the customer wants to roll those out. But we have seen a pickup from '12 to '13. Now in the food beverage market, well, that's also where we're seeing quite a few new introductions. Those are kind of new dispensing systems. So that's actually opening up an incremental business for us as we grow forward.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. What -- are you seeing any -- in the cosmetic area, are you seeing any early signs as to what the Christmas build will be for 2013?
Stephen J. Hagge: I think it's a little bit early. Overall, our customers tend to be -- I mean, you can see our sales in Europe and -- had been reasonably strong. So I would tell you in the prestige fragrance market, I think expectations are that it will be an okay to a good Christmas season, and people are starting to get ready for that. The other side is, is we to continue excellent growth in the cosmetic or the skin care-type markets are on a worldwide basis. So [indiscernible]...
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. And what if you look -- if you look -- excuse me, your total global footprint relative to hiring in that, you certainly talk about the increased capacity and the Andeans and certainly with Stelmi. What are you looking at from a capacity utilization across all of your factories, across all of global? Would you be a net hirer? Would you be slightly down? Kind of status quo? What would you look if you looked in the entire world?
Stephen J. Hagge: If I took the entire world, and again this is such a broad -- again, we're probably up. I mean, certainly, our business is stronger this year than it was last year. So that's -- it's up. But again, it's going to be very specific region to region and, frankly, product to product. So if I took an overall basis, we're going to be up a little bit.
Operator: This does conclude the question-and-answer session of today's program. I'd like to turn the program back to Mr. Hagge.
Stephen J. Hagge: Thank you very much, Jonathan. That concludes our call today, and I'd like to thank everyone for joining us.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.